Operator: [Technical Difficulty] You may resume.
Unidentified Company Representative: Okay, we apologize for the delay. We believe we've got – the offshore pipeline transportation segment is engaged in providing the critical infrastructure to move oil produced from the long-lived world-class reservoirs from the Deepwater Gulf of Mexico to onshore refining centers. The sodium minerals and sulfur services segment includes trona and trona-based exploring, mining, processing, producing, marketing and selling activities as well as the processing of sour gas streams to remove sulfur at refining operations. The onshore facilities and transportation segment is engaged in the transportation, handling, blending, storage and supply of energy products including crude oil and refined products. The marine transportation segment is engaged in the maritime transportation of primarily refined petroleum products. Genesis operations are primarily located in Wyoming, Gulf Coast States and the Gulf of Mexico. During this conference call management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides Safe Harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those Safe Harbor provisions and directs you to its most recently filed and future filings with the Securities Exchange Commission. We also encourage you to visit our website at genesisenergy.com where a copy of the press release, we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I would like to introduce Grant Sims, CEO of Genesis Energy, L.P. Mr. Sims will be joined by Bob Deere, Chief Financial Officer; and Ryan Sims, Senior Vice President, Finance and Corporate Development.
Grant Sims: Good morning and again, apologies for the technical difficulties. We provided a significant amount of detail around this quarter in this morning's earnings release. I thought it would be more helpful to provide more detail on the macro themes and encouraging dynamics around each of our market leading business segments as we look towards 2020 and beyond. In the Gulf of Mexico, which according to some was a dead and declining basis as of a few years ago, we continue to see robust activity which should drive production growth in the coming years. According to the EIA at the end of 2018 Deepwater Gulf of Mexico production has grown approximately 24% from 2015. Furthermore, as of October 2019, the EIA is forecasting total Gulf of Mexico production to grow to roughly 2 million barrels a day in 2020 and approximately 33% higher – approximately 15% higher just since the end of 2018. Specific to our footprint is compared to the first nine months of 2019 volumes on our main pipelines to shore CHOPS and Poseidon have increased 13% since 2015 and are up approximately 12% since the end of 2018. These volumes along with the continued development drilling and various recently sanctioned developments further provides evidence that Gulf of Mexico is not dead and will drive significant volume growth in our offshore pipeline transportation segment in the coming years. As mentioned in this morning's release, we recently entered into agreements to move 40,000 barrels per day on our CHOP System and 20,000 per day on our Poseidon. They're delivered to us by a third party pipeline that has insufficient capacity to deliver such volumes all the way to shore. The agreements include ship-or-pay provisions, have terms as long as five years and require no capital on our part. Most of these volumes are flowing in the third quarter and the terms for five years is indicative that the producing community views the third party pipeline will have extended capacity issues to shore. We're finalizing agreements to move a total of what is anticipated to be 25 to 35,000 barrels per day of incremental production on Poseidon. These are brand new lease dedications from several new tie-back developments with five to 10,000 per day, anticipated by the end of this year and 20 to 25,000 barrels per day anticipated in mid-2020. The volumes expected mid next year will actually flow through one of our wholly-owned laterals that connects subsea into Poseidon. No capital will be required by us to provide these movements. Additionally, we are finalizing agreements with the operator of a new deepwater floating production unit designed to exploit local reserves and serve as a production hub for subsea, tie-back opportunities. The total design capacity of the new unit is 80,000 barrels of oil per day and 100 million cubic feet of gas. No capital will be required by us, as the producers are obligated to build to our existing facilities for downstream transportation. The oil will be 100% dedicated to one of our wholly-owned laterals and split almost evenly for transportation to shore on our CHOPS and Poseidon pipelines. The gas will be 100% dedicated to our Anaconda gas pipeline. The agreements will contain ship-or-pay provisions, dedicate all known and future production through and across the facility to us, and have a term coincident with the useful life of the floating production unit which is designed for a minimum of 40 years, first deliveries of oil and gas from this new development into our facilities is anticipated in mid-2022. I might also point out our rates are actually increasing on these new dedications and term contracts. And we're including escalators and virtually all new contracts. Finally, we continue to anticipate first deliveries from Argos which was formerly Mad Dog 2 of up to 140,000 barrels a day into CHOP System in late 2021, if not earlier that year this is new production from leases that have been dedicated contractually to CHOPS since 2005. Turning to our sodium minerals and sulfur services segment, we're starting to see signs of some potential slowdown in demand growth globally, particularly in Asia, which we believe is tied to the ongoing economic uncertainty related to the US-China trade war. The near term manifestation appears to be a reduction in inventory as our customers and their customers take a more cautious approach into the end of the year in light of the uncertainty. Specifically for soda asked the medium and long term growth trend is still positive and the market fundamentals continue to point to global domain growth without corresponding supply growth until 2022. We remain confident in our decision to expand our Granger facility as expansion will not only bring new low cost tons to the market, but will also lower the operating cost of the Granger facility making it one of the lowest cost plants in the world and further enhancing Genesis alcohol as cost position globally. With only approximately 26% of global soda ash demand supplied by low cost natural production worldwide, we remain confident our global leading cost position will allow us to navigate the next few years and be well positioned to capture market share currently supplied by synthetic production and incremental global demand growth between now and 2022. Based on this long-term outlook on, September 23, we announced our final investment decision to expand our Granger soda ash facilities by approximately 750,000 tons per year. The expansion through a combination of the incremental tons and margin improvement on the existing production the fixed cost absorption is expected to generate approximately $60 million incremental annual EBITDA, meaning in mid to late 2022 for a total anticipated capital expenditure of $330 million including contingency to be spent over the next three years. We estimate the Granger production facility is expanded to approximately 1.3 billion tons per year has a minimum reserve life of well in excess of 125 years. In conjunction with such decision, we entered into agreements with funds affiliated with GSO Capital Partners for the purchase of up to 350 million of fully redeemable, preferred interests in all of our soda ash operations, thereby providing an external source for up to all of the anticipated capital expenditures of the expansion project. The structure of the financing arrangement is credit neutral to Genesis and requires no cash outlays or payments by us during the anticipated 36 month construction period. After exhaustive evaluations, we concluded this was the best way to pursue such an accretive opportunity given the current state of capital markets and allow Genesis to maintain its position as North America’s largest producer of natural soda ash. We believe the structure provides Genesis with significant optionality over the construction period to use excess cash flow to pay down borrowings under our senior secured credit facility or internally fund any future opportunities across, which currently there are not identified across our diverse and market leading business segments. Our marine transportation segment continues to perform as expected. The segment margin increased slightly for the seventh quarter in a row. We experienced steady utilization on our groundwater fleet particular in our blue water fleet. With IMO 2020 upon us we remain optimistic that we have seen the bottom for the quarterly segment contribution from our entire fleet of assets and recent strength and near term day rates and utilization rates is reflective of an improving market. Turning to our onshore facilities and transportation segment, on October 23, the provincial government of – sorry, on October 31, the provincial government of Alberta announced that beginning in December, curtailment relief will be granted to operators for incremental production that is shifted by rail. We view this as a potential catalyst going into 2020 that certain of our customers have incremental rail capacity and the ability to increase production that otherwise would not get produced. We are seeing a slight dip in volumes scheduled for November and December due to the lighting of differentials. And we believe we can see incremental volumes on top of this in December due to the curtailment relief. Longer term assuming the provincial government removes itself and lets free markets prevail. We believe the conditions exist for rail to play a fundamental role in transporting crude oil out of Canada. At our Raceland terminal we successfully commissioned a new pipeline connection with Exxon Mobil South pipeline to move volumes north from our Raceland terminal, which receives offshore volumes directly from our Poseidon pipeline directly to Exxon's Baton Rouge refinery. This connection is consistent with our previously stated goals are further integrating our offshore plans and onshore terminals that help facilitate the movement of offshore production to additional onshore markets. For the quarter our businesses generated financial results that provided 1.22 times coverage of our common unit to our common unit holders, inclusive of a full quarter of cash distributions paid to our preferred unit holders and a sequentially decreasing leverage ratio from 4.96 times to 4.9 times. Our target coverage ratio, including all preferred cash divisions remains 1.4 to 1.6 times and we expect our quarterly distribution rate will remain at $0.55 per common unit for the foreseeable future. As we nearly end 2019, and begin focusing on 2020 and beyond, the fundamentals of our businesses remain solid, and our prospects are exciting and increasingly clear as discussed earlier. We reasonably expect segment margin in our offshore pipeline transportation segment to be up 20 million to 30 million year-over-year in 2020. With the production hiccups behind this and assuming no significant slowdown in economic activity, we expect our sodium minerals and sulfur services segment to be stable to slightly up year-over-year. Likewise, we would expect a marginally improved performance in our marine transportation segment in 2020. We also believe based on the curtailment relief I mentioned earlier that we should average at least one train a day, less than half of our handling capability at our Scenic Station facility in Baton Rouge, which would increase segment margin on our onshore facilities by approximately $10 million in 2020 over 2019. Outside of our Granger expansion project, which is fully committed to be funded by GSO, we do not currently anticipate any significant growth projects in 2020. And we expect our maintenance capital expenditures to be consistent with prior years. Independent of achieving these results, we believe that in 2020, based on our current expected cash outflows including all interest, cash distributions, and capital expenditures, we will be cash flow positive. If some or all of the margin improvements above come to fruition will have even stronger cash flow, higher coverage of our current cash distributions, and we'll be able to proceed more rapidly with deleveraging our balance sheet towards our long-term leverage target at four times. As always, we intend to be prudent, diligent and intelligent in achieving and maintaining the financial flexibility to allow the partnership to opportunistically build long-term value for our stakeholders without ever losing our commitment to safe, reliable and responsible operations. As always, we'd like to recognize the efforts and commitment of all of those with whom we are fortunate enough to work. With that, I'll turn it back to the moderator for any questions. And again, I apologize for the technical difficulties of kicking the call off.
Operator: [Operator Instructions] Your first question comes from the line of Shneur Gershuni with UBS.
Shneur Gershuni: Good morning guys with the new ones for me. Just a few questions to start off, you just ended your prepared remarks talking about you know being cash flow positive next year and not seeing a lot of incremental CapEx along the lines or in view, I guess. And so your focus seems to be to get your leverage down as low as possible. At the same time, there's a lot of volatility in the markets and with your guidance we've obviously some volatility in your earnings as well, too. Is there an appetite to try and take down some of the balance on the credit facility and just term it out? Or do you see yourself getting all the way to four times by the end of next year and there's absolutely no need for that?
Grant Sims: I don't think that there's a path to get to four times by the end of next year, because that's a leverage ratio on the basis federal funded that including senior unsecured, but I think that our view is that – again, it's on an opportunistic basis that we would look at terming out some of the outstanding from the revolver. We do think that over the next several years, including within the industry perimeter revolver that was a net payer down of outstandings. We've had a number of discussions with our large banks, we feel that for businesses as ours, that the risk of renewing the credit facility beyond its current data, I think it's August of 2022, might be May or something, but we should have no problem of renewing that for another four or five year term.
Shneur Gershuni: Okay. Just shifting a little bit to the Granger transaction, if I remember at the time of the announcement, you talked about it being a mid five to EBITDA multiple. There was a financing agreement that was attached to it as well too with some, I think if I remember correctly, an IRR component. When you sort of think about the cost of that, where do you think that project ultimately ends up on an EBIT-to-EBITDA basis or project-to-EBITDA basis and kind of like more of a seven times multiple or an eight times multiple, just trying to understand the cost of that IRR component of the partner.
Grant Sims: Yeah, I mean, sure, I know that I'm mixing metaphors and stuff but we have no cash pay obligations during the construction period and therefore it's kind of capitalize and the implicit cost of the capital is capitalized into the overall project. We think that on a cumulative basis that that kind of runs the – in a flat static environment of taking that capital as the value instead of the raw $330 million, which includes a contingency that we're right at the seven times multiple.
Shneur Gershuni: Okay, so pretty low IRR. Okay, excellent. Just two more quick questions, just with respect to your guidance, can you talk about the volume growth assumed in the offshore segment, you're talking here, expecting at least $20 million to $30 million of year-over-year growth.
Grant Sims: Yeah, I think that it's a function of the new volumes or the new dedications which are coming on which I mentioned. It's a function of also a continued in field development drilling that we haven't talked about, but that's just kind of a normal course of business that we think could have any kind of decline still net 20 or 30 KBD on average increase in 2020 over 2019 and then, a full year of the Buckskin subsea development, this tie and the development drilling that occurred in and around the Lucius facility which is restored that total production off of that facility from indigenous productions as well as the subsea tie-backs to be in excess of 80,000 barrels a day. We think that that's a pretty conservative view of how we view the ramp in 2020 over 2019.
Shneur Gershuni: Okay and one final question. Can you give a little bit of color around the stable to slightly up the year-over-year sulfur services and sodium minerals agreement guide, given the impacts that occurred in 2019, everything resolved? I'm just trying to understand kind of the stability of that guide.
Grant Sims: As we mentioned, we are seeing a little bit of softness and in export pricing on the soda ash business and we're taking a conservative view of that as we go into 2020. We did have production hiccups in the first and second quarter which everything else the same probably bedded close to $10 million worth of unexpected negatives and in 2019 hopefully that gets behind us and so we're hopeful that we're being conservative and discussing that we think that it's stable to marginally improve.
Shneur Gershuni: Perfect. Thank you very much and thank you for all the color today.
Grant Sims: Thank you.
Operator: Your next question comes from a line at TJ Schultz with RBC Capital Markets.
TJ Schultz: Hey, good morning. I think just one for me, an offshore question, just trying to understand your need or outlook for potentially any meaningful capital projects to keep kind of your competitive position there. Or do you expect your existing footprint and the requirement of producers to spend to connect the sufficient to capture all the opportunities that you kind of mentioned are relatively cost free to you? Thanks.
Grant Sims: Thanks TJ, we have in our view adequate capacity on the main lines if you will to CHOPS and Poseidon to handle the choice set, there are certain scenarios developing that there might be some expansions in the 2021, '22, '23 type timeframe require to – necessary to facilitate the hard pipe passing of incremental production that we see coming on, but we would have incremental ship-or-pay agreements associated with that. So we think that those would be very extremely attractive. It could be easily financed under the revolver to the extent that they materialize because of the mechanics under our revolver we get the in essence, the proportional take-or-pay credit if we were to spend money on, so if we fashion everything in less than five times deal, it's basically a credit neutral to the extent that they come up.
TJ Schultz: Okay, but that is the kind of increased outlook into 2020. That's not required for that outlook. There's nothing firm as far as –
Grant Sims: Yeah, we don't have to spend any money for that outlook, yeah, even in 2020.
TJ Schultz: Okay, appreciate it. Thanks, Grant.
Grant Sims: Sure thanks.
Operator: [Operator Instructions] Your next question comes from Ethan Bellamy with Baird.
Ethan Bellamy: Hey, guys, good morning. One housekeeping question on the GSO preferred. Could you confirm that you're using 50-50 treatment on that in terms of your reported leverage and in covenant?
Grant Sims: It doesn't we're going as zero debt treatment for the calculation of our coverage. The calculation of our bank covenant has nothing to do with – it's not treated as debt.
Ethan Bellamy: Okay, alright. That's helpful. Thank you. And then we've seen some trepidation in the markets, I think justifiably so about comments from Elizabeth Warren about potentially ending oil and gas leasing on federal lands, which I presume would mean the Gulf of Mexico. Can you guys through what the implications would be fundamentally, if we had a leasing ban and effect as of the first quarter of 2021. How long would something like that take to show up in your volume numbers, considering how long the Gulf of Mexico project lead times are?
Grant Sims: I mean, obviously, there's a lot of political rhetoric and I don't think that we're necessarily going to weigh in on a lot of that, but the law, which governs activities in the Gulf of Mexico is the Outer Continental Shelf Lands Act which requires a Department of Interior to maintain an oil and gas leasing program. Thus, our opinion, and there's a lot of people and I'm not a lot there's a lot of people researching it, but that complete and permanent ban on all new leases in the Gulf of Mexico is not possible without Congress passing a law and changing the legislation. So I mean, I think that's the reality of the situation once – as we're reminded by Madam Speaker, there are three branches of government, but the legislature has put the laws on the books. So I don't know that it can be done. B, I think that the existing leases which are held by production and still under primary term, I think would generate a significant which was 10 years by the way the primary term from the date that is leased, I think that taking so to speak of private property back, retaking by the government would be a very difficult and expensive thing to do. So I don't know what else to weigh in on that, but we're certainly monitoring it. We think it is political rhetoric. And if that and fracking were somehow to come to pass, then I think that would be the equivalent of the largest tax increase and most regressive tax increase known in American history if they were to come to pass.
Ethan Bellamy: Thank you, Grant. I appreciate that context. One more question on Granger. If you guys are the low cost producer and you have an excess of 100 year reserve life, what dictates or governs the size of the expansion that you guys are willing to do, why not say a million and a half tons for example?
Grant Sims: In particular in Granger, Granger was a standalone facility that our predecessor companies FMC purchased in the late 90s that had historically produced 1.2 to 1.3 million tons a year with dry mining given this location which is about seven miles to the northeast of our Westvaco facility, which is our main facility where we produce about three and a half a million tons currently. It ran out of dry ore in the seam, there's 26 stack seams, so the trona there it ran out of dry ore and we converted it once we acquired it to secondary recovery as solution mining facility. So long story short the infrastructure and this is why we refer to a fixed cost absorption, Ethan and lowering the cost of the existing ton. The infrastructure exists to handle 1.2, 1.3 million tons. We don't have – for the lack of a better description since it was a dry mining facility. And now we're converting it to the larger – or putting it back to its nameplate capacity using solution mining, we have to add a backward capacity to get rid of the water, if you will, that we use to sort of solution mine the soda. So it was a very cheap cost effective way to return the Granger facility to its nameplate capacity of 1.2 to 1.3. And I would also point out that I mentioned a minimum of 125 years that in particular in Granger that assumes only – that's the reserves on the two seems that we are currently solution it that you added the other stack seams it's probably three to 400 years.
Ethan Bellamy: Okay, very helpful. Thank you very much Grant. Appreciate it.
Grant Sims: Thank you.
Operator: And there are no further questions at this time.
Grant Sims: Okay, well thanks everyone and we appreciate and again I apologize for the start and the technical difficulties at the first and we'll talk to you all soon. Thank you.